Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fiscal 2018 Third Quarter Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterward, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, February 1st, 2018. Now, I'd like to turn the conference over to Lino Saputo, Jr. Please go ahead, sir.
Lino Saputo: Thank you very much, Tommy.
Sandy Vassiadis: Good afternoon, everyone and thank you for joining us today. A press release detailing our 2018 third quarter results was issued earlier today and is also available as we speak on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. I'd like to specify that our listeners on the phone and on the Internet as well as journalists are on a listen-only mode. Members of the media are invited to ask their questions by phone after this call. Before we proceed, please be reminded that some of the statements provided during this call are forward-looking. Such statements are based on assumptions that are subject to risks and uncertainties. Refer to our cautionary statements regarding forward-looking statements in our annual report and our quarterly releases and filings. Please treat any forward-looking information with caution as our actual results could differ materially. We do not accept any obligation to update this information except as required under securities laws. Mr. Lino A. Saputo Jr., our Chairman of the Board and Chief Executive Officer, will begin this conference by providing his brief overview of key highlights relating to the third quarter of fiscal 2018, after which, he, along with Mr. Maxime Therrien, our Chief Financial Officer, will answer your questions.
Lino Saputo: Thank you, Sandy and good afternoon to you all. This has been a solid quarter despite adverse market conditions in the U.S. and the impact of an unfavorable foreign exchange. Revenues are up 1.9% while adjusted EBITDA is down 8.3%. We haven't slowed our pace. We've continued to target operational efficiencies and raw material optimization across all divisions. And we've not shied away from the struggle decisions aimed at rightsizing our business or from walking away from unprofitable product categories or volumes. We stay focused on controlling the controllables as we adjust and adapt to the things we can't control including market factors and changes in the competitive landscape. The ERP project continues to progress well, though it has impacted short-term results as planned. Australia and Argentina have completed their implementations, and the U.S. division has begun their own processes towards the ERP integration. We remain confident in the long-term benefits ERP will generate. This important transformation will support our future growth for decades to come. The third quarter was marked by the completion of the Montchevre acquisition. It allows us to broaden our presence in the U.S. specialty cheese category and solidifies our position as the leader in processing goat cheese in North America. As for the Murray Goulburn acquisition in Australia, we're expecting the Australian competition and consumer commission and the Foreign Investment Review Board to render decisions later this month, after which, a shareholder vote can take place. We remain confident in our offering, expect to complete the acquisitions in the first half of calendar 2018. On the regulatory front, the biggest development this quarter has been the tax reform in the United States, which translates into a notable one-time benefit for Saputo as well as a significant reduction to our U.S. federal income tax rate going forward. Concerning the announced revival of the Trans-Pacific Partnership, it's now expected to be signed the first week of March by the 11 nations who have agreed to the new trade deal. We expect our government will ensure decisions relating to the allocation of quotas are reflective of the impact of Canadian dairy stakeholders affected by the influx of imported dairy products into Canada. As for NAFTA, the recent negotiations taking place in Montreal have been highly mediatized. That said, we still don't know what or if any changes to the agreement will be concluded. Whatever happens, I remain convinced we'll adapt to any revised regulatory environment in North America or anywhere in the world we operate. We can do this, thanks to the entrepreneurship, innovation and passion shown by our employees across all divisions. What they accomplish every day is not only inspiring, it is delivering steady results. With that, I conclude my formal remarks and thank you for your time. We will now proceed to answer your questions. Tommy?
Operator: Thank you very much. [Operator Instructions] And we'll get to our first question on the line from Mark Petrie with CIBC. Please go ahead with your question.
Mark Petrie: Thanks. Good afternoon. Lino, I wonder if you could just a little bit more detail with regards to the U.S. market and maybe some more color in terms of how the channel mix, customer mix and product mix may have evolved through the quarter?
Lino Saputo: Sure. So, the U.S. division, which includes cheese and dairy foods, EBITDA was down 23.1% versus the same time last year. A lot of that has to do with market conditions. We had a block market that dropped dramatically over the course of the quarter and at the same time, we had market that also dropped, impacting our overall results. If I look at what's going on in both of those markets, I would tell you that the volume had been good, steady in the cheese business and growing in the dairy foods space. We have lost a little bit of volume in certain categories and areas, but overall, not a dramatic impact to the overall results of the U.S. business. Having said that, the mix is positive. So, the types of products that we lost were more commodity and the types of products that we've gained have been in value-added. The market in the U.S. continues to be challenging only because there's more milk in the system than consumers can consume. That's putting pressure on some of the inventories we have in products like byproducts, WPC and whey. And so there are some impacted elements there to the EBITDA number. Overall, if I look at the division, how it's performing, our plants are performing extremely well. We've had some initiatives and projects that are going on, on an ongoing basis in terms of cost-cutting initiatives. Our plant in Almena, the blue cheese plant, is starting up extremely well. We announced after the end of last quarter the closure of our Fond du Lac blue cheese plant, which is scheduled for the first half of this calendar year, at which point in time, we will have one mega plant producing blue cheese in the United States which, as far I'm concerned, will be the most effective and most efficient blue cheese plant I think in North America and perhaps around the world. So, I think we're investing in the right elements. I think we're promoting the products that are driving some great value for us. I'm not overly concerned with our results in the U.S. business specifically because they do come from the impact of market conditions that were unfavorable for this quarter. I think if I look at the operating business and I look at our management team and I look at our decision-making process, we do have a very, very healthy solid platform both in cheese and in dairy foods.
Mark Petrie: Okay. Thanks. That's helpful. I guess just in terms of the outlook from here, I mean is it fair to say that the absolute decline of the commodity prices in Q3 was a significant factor? And even if commodity prices remain kind of flat from here just not great but okay, EBITDA margins would improve from Q3?
Lino Saputo: Yes. That would be a fair statement. So, anytime you're in a quarter and you have a block market that declines, of course, there's the impact on inventory realization which was a factor that affected us this quarter here. All things being equal, if the market stays stable, even at this low block market levels, and I believe the block market today is somewhere around $1.46, yes, I would say that the margin should be better as we move forward.
Mark Petrie: Okay, appreciate that. I'll pass the line. Thank you.
Lino Saputo: Thank you very much Mark.
Operator: Thank you. We'll get to our next question on the line from Irene Nattel from RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks very much and thank you, Lino, for your answer to Mark's question. Just continuing with the U.S, the ERP-related expenses in the quarter, I guess, number one, would you able to quantify them? And what level of expenses should we be anticipating on a go-forward basis as you continue the rollout in the U.S.?
Lino Saputo: Yes. I'll ask Max to answer that question.
Maxime Therrien: Okay. So, for this particular quarter, we're talking about $8 million of additional spend that we had to face in this quarter as the program had migrated from the prior quarter from the international divisions and that is bringing us about in line with what we targeted for the year. We're targeting an additional $30 million on an annual basis above last year in terms of our ERP spend. And if you look at the following year, that additional expense, we're not anticipating that it's going to be up again, but more like on a plateau type thing. So, definitely, we had impacted from ERP this quarter to the tune of $8 million and specifically to the U.S. divisions.
Irene Nattel: That's really helpful. Thank you. And just continuing, it sounds as though, Lino, your U.S. business, you're pleased with your volume, you're pleased with your competitive positioning, would you agree with that? Number one. And number two, can you speak to those elements in your other geographies, please?
Lino Saputo: Yes. Okay. So, I appreciate the question and I am extremely pleased with the way our team is managing our assets in the U.S. We always talk about controlling the controllable and I believe our team is doing a phenomenal job doing that. When you have a block decline year-over-year of $0.30 a pound, there's nothing you can do to mitigate any of that. So, again, we're not discouraged by a 23% reduction in EBITDA in the U.S. We're motivated by the initiatives that our team employs on a daily basis. If I look at our other divisions, as you had requested, EBITDA in Canada is up 9.4%. That's related to operational efficiencies and raw material optimization. We have lower administrative costs in that division for this quarter compared to the same quarter last year, even though we have external warehousing and logistics costs that are slightly higher. The division in Canada also is performing extremely well. Again, rightsizing is important for us. We have announced in the past some plant rationalization to properly reflect the amount of milk that we process and the customers that we're servicing. Of course, if I look forward, the Canadian market continues to be very competitive. There are always requests for new prices from some of our customers, and so it seems like we're always up for renegotiation on pricing. I think we've defended ourselves extremely well in the past and I think that we can defend ourselves extremely well going forward. Having said that, we need to take a look at every category or product that we manufacture and recognize what's profitable and what's not profitable. And though non-profitable category, if there's no way for us to be able to make them profitable, well, then, we have to perhaps, consider rightsizing those products as well and exiting some of the strategies -- categories that we're currently in. This is an evaluation that we do on an ongoing basis. Nothing new to Saputo. We've been doing this for the last 20 years and we'll continue to do it moving forward. I will tell you that a lot of these circumstances and situations that we're in make us better and stronger, I would say, forces us to be yet more effective and yet more efficient. And I have great confidence that our team is the ability to be more nimble and more impactful in the decision-making process. So, I guess in short, the Canadian division is focusing on optimizing, innovating and finding solutions for those non-profitable categories. If I look at the international platform, the international platform is up 22.3% on EBITDA year-over-year. Market conditions are better -- were better in Q3 than they were in Q3 last year. Revenues are up. Milk and cake is up. Some of our competitors in both Argentina and Australia are having difficulties. We're capitalizing on that. We're taking on more milk. We're gaining more credibility with supply in community. And we've also strengthened and leveraged our brands in the domestic market, not just the international market. In Argentina, we've got very, very strong presence in the domestic market which helps mitigate some of the volatility in the international market. And we've done the same thing in Australia with -- especially with the acquisition of the everyday cheese and the brands that we're bringing to market. So, I think we've gained a lot of credibility. I think our foundations are very, very good. Perhaps if I could just a couple of words on trends and outlook. The economists are telling us that there is more supply in the world market than there is demand for that. So, we're expecting Q4 and perhaps into Q1 and Q2 of the following fiscal year to be challenging, but I welcome this challenge. I think these kinds of challenges bring up opportunity for us, again, opportunity to rethink about our overall structure, our product categories, rethink about where and how we want to sell our products. But I think even more encouraging than that, it does present opportunities for potential acquisitions. The pipeline for us in terms of files that we have on our table is probably greater than we've ever seen before. And as long as we stay responsible fiscally and financially, we will have the balance sheet to be able to capitalize on all of those. Even after the MG acquisition, even after the Southeast Milk acquisition, and even after the Montchevre acquisition, we still have financial flexibility of upwards of CAD3 billion to materialize other acquisitions. So, I'm not overly concerned about this dynamic. I think that this dynamic, this context, these challenges and the headwinds will present some great opportunities for a company like Saputo.
Irene Nattel: That's great Lino. You answered all kinds of questions. I'll leave it there and thank you very much.
Lino Saputo: Thank you very much Irene.
Operator: Thank you. We'll get to our next question from the line of Michael Van Aelst from TD Securities. Go right ahead.
Michael Van Aelst: Hi, good afternoon. I wanted to first clarify a few things on prior questions. First of all, the ERP cost, Max, in the U.S. alone, though, how much did they go up there? Because I know they had -- they came down in international, but they kicked in, in the U.S. How much was it there?
Maxime Therrien: For this quarter, it's $8 million. There was additional costs as well in prior quarter, but certainly not to the tune of $8 million, but much lower than that as the program was more focused on international.
Michael Van Aelst: Okay. All right. And then in the U.S., three of the last four quarters have been unusually weak, I would say, from a Saputo perspective. And usually, we see some consistency, you see a little -- a weakness from the market factors here and there. Was there anything else from like plant startup costs or anything like that may have affected U.S. business? And if not, what has changed? Is it strictly because there's inventories out there and the buyers are getting a little more picky and moving to the sideline a little quicker than they have in the past?
Lino Saputo: Well, we did announce -- sorry, Michael, but we did announce last quarter that there were some startups of a few key projects. We have a couple of plants in California that were renewing their technology. So, there were some plant shutdowns that were actually in this quarter here and startup which was every -- things that were planned in addition to the startup costs with our Almena plant. And the Almena plant, we wanted to be extremely careful about the startup there because it's not a fresh product that turns in a matter of 14 days. The blue cheese typically will be stored from 60 to 90 days. And so every day of production that is being stored, you don't know the result of that until 60 or 90 days after it's been cured. And so the startup of Almena has been slower than, say, other plant startups, not uncommon for us, not unexpected for us, but of course, they do hit the quarter, they hit the numbers. And as we're starting up the new plant in Almena, we still have to staff the old plant in Almena. And so you have perhaps some overtime and you have some incremental expenses there like safety, security, cleansing of the plant and -- before you even startup. So, there was some of that in our tail end of Q2 going into Q3, which ultimately when the Almena plant is going to be in full production will no longer be an issue. So, there was some of that. But I would say by and large, it's the volatility of the market and the market factors that had a heavy impact on the results within our U.S. cheese sector and very, very little in the dairy foods space.
Michael Van Aelst: So, is that volatility though -- like, it seems to be more pronounced lately in the last few years or the last year in particular, and I know there's a lot of inventories out there. So, is it -- are the buyers just moving to the sidelines quicker like we saw in Q4 fiscal 2017 and when they see the prices falling off?
Lino Saputo: Yes, that's a very good question, Michael. So, I think there are two elements. There's the production element or sometimes when the markets are good, producers in the industry get overzealous and put on too much production more than the markets can support. And then, of course, on the other end, you have buyers who are more shrewd and perhaps more strategic. I don't think, to be honest with you, that it's rocket science in our industry. I think if we had the right balance between supply and demand, there would be less volatility in the system. Unfortunately, the major pull-ups around the world don't seem to have that into that. And so this is the pendulum that keeps on moving from side-to-side where when the markets are good, everybody wants to capitalize it and everyone has the fear of missing out so they put on more production. And then once that happens, they exceed the ability for consumers to consume those solids and everything goes into inventory stocks and those inventory stockpiles are published, and of course, the buyers are going to be smart enough not to buy when there's too much inventory in the system, not more complicated than that. And so we have seen that there's been a lot more volatility, not just in the U.S., but there is a lot more volatility even in the international markets. The waters have been choppy, I think, for the last four or five years, up and down. We've had record quarters in terms of our EBITDA generation and we've had quarters where our EBITDA was less than our -- than average for us. This is far from the course as we move forward. And especially as we get into heavier weighting into the international space, we should expect that going forward. We should expect that there's going to be volatility and we should expect that there's going to be high markets and low markets. It's what we do with that, how we respond to it that's going to distinguish us from the rest. And again, as I said, as long as we keep our balance sheet clean, there are going to be casualties in the market. We've seen it. We just have to be ready to capitalize on that.
Michael Van Aelst: Thank you. And then just, finally, on the international segment, prices in international did fall off in the back half of the quarter. But in the past, you've talked about some pricing contracts that have allowed you to hold prices higher, initially at least. So did you see any real market pressures at the end of the quarter? Or is that something that we'll see more of in the next few quarters like you kind of pointed to?
Lino Saputo: Yes. You'll probably see more of that in Q4 than you saw in Q3. Although even in Q4, while there are some longer term contracts with more, I would say, loyal customers that we have around the world, and that's -- again, as we look at our product portfolio and our customer base, we like to be with the loyal customers. So, there is going to be some benefit to having longer-term contracts with those customers in Q4, but you should start to see the overall profit margins in international come down in the fourth quarter because of the influence on the market prices.
Michael Van Aelst: All right. Thank you very much Lino.
Lino Saputo: All right.
Operator: Thank you. We'll get to our next question on the line from Peter Sklar with BMO. Go right ahead.
Peter Sklar: Lino, if this TPP agreement is signed and Canada is a party to that agreement, do you have an opinion on how much TRQ Canada would have to give as part of that overall deal?
Lino Saputo: Well, do I have an opinion? The odd thing is in this TPP without the U.S. are getting the same access to this new TPP the other they get to the old one with the U.S. included. So yes, my opinion is I think that Canada overshot, but I'm not at the negotiating table, so I don't have any influence there. The only thing I would say, though, is I'm hoping that the government would be responsible enough to give the allocation of those new quotas to stakeholders of the dairy industry, specific, which was not done in the [Indiscernible] deal. So, my opinion would be that if you're going to grant so much access to the 10 other members of this new TPP to come into Canada and sell dairy products at least, let the stakeholders in Canada be able to have a strong say by way of controlling quota for those products coming into our country.
Peter Sklar: And why do you think under the [Indiscernible] deal they gave so much to the retailers?
Lino Saputo: I'm not sure. I would suspect that there were lobby groups on all sides. I mean we went at it through our dairy association which was DPAC. I know Dairy Farmers of Canada went through it with -- through Dairy Farmers of Canada. And perhaps, there were lobby groups from the distribution and retail side that were lobbying for their share of quotas. The reality is anytime you got these new incremental volumes of dairy coming into our country, it does put pressure on dairy pricing domestically, and of course, the casualties there would be the dairy producers and the dairy processors. And so I think it's only fair that if you want to maintain value in dairy, then I think the real stakeholders of dairy should own the new allocations of quotas and that's my position.
Peter Sklar: Okay. On another topic, when you're discussing the Canadian segment, you talked about raw material optimization. What does that mean, are you talking about reformulation?
Lino Saputo: So, raw material optimization is the types of ingredients that we can use to be able to standardize our products, so standardize fat and protein. And as you all know, Peter, we have access to fat and proteins for many countries around the world including Argentina and Australia. We also had at one time access to some of those solids from the United States before Class 7. So, what we look at on an ongoing basis, and it's part of our DNA, is at what level do we need to acquire protein and fat from countries outside of Canada as well as what we're acquiring inside of Canada. And we standardize according to our make recipes, making sure that we have, number one, the highest quality solids going into our vats; and number two, the lowest cost solids that we can generate a good return for ourselves. So, when we talk about raw material optimization, it's a question of ingredients that we use, number one; and number two, making sure that we get the maximum value out of every liter of milk that we're processing. So, making sure it doesn't go down the drain. Making sure that we control giveaway. Making sure that we control our spoils and waste. And if we do that effectively, then our cost of raw material comes down, and then we can be much more competitive than most of our competitors in this space, and we do that effectively well.
Peter Sklar: Okay. And if just one last question on Murray Goulburn. I saw a report that Murray Goulburn recently had some -- with baby formula and some -- I believe it was some UHT product that they were exporting into China and they were stopped at the dock and the suggestion that was politically motivated. I'm just wondering is this something you thought about in terms of your due diligence when you acquired Murray Goulburn? And just wondering how you addressed that issue.
Lino Saputo: Not at all. And I think there's a lot of speculation there on both sides of the border, whether it would be China getting into Australia or Australia getting into China. Look, we've said this many times before. If everyone is chasing the same markets and expecting to derive value out of it, they might be completely disappointed with the end result. And I think infant formula, yes, there is a demand for infant formula in China. However, there's probably four or five key brands in China and there's about 105 different companies trying to get on the shelves. I think there's a better way of going to market than just trying to create a new brand of infant formula into the Chinese market. I think some of those solids could have a better value in other categories or products and perhaps in other markets. So, I'm not overly concerned about some of that speculation about Australia being blocked into China or China being blocked into Australia. I think we've got a pretty good strategy. It's worked well for us. And irrespective of what MG has done in the past, I think that we'll come up with the right solutions to maximize value and create value with those assets.
Peter Sklar: Okay. Thank you.
Lino Saputo: Thank you very much Peter.
Operator: And we'll get to our next question on the line from Vishal Shreedhar with National Bank Financial. Go right ahead.
Vishal Shreedhar: Hi, thanks for taking the questions. On the volatility of the results that you commented on earlier in the call about increasing volatility as you enter into more and more international markets, is there anything management can do to reduce the volatility and increase the predictability of earnings? I know you took actions in the past to reduce the volatility, the North American earnings to different product categories, countercyclical categories. Wondering if there's any option like that or if there are some hedging strategies management can engage in or even if that's of interest to you.
Lino Saputo: Yes, we do some hedging but we do mostly hedging for our customers. We don't do much hedging for ourselves. We're not trying to beat the market. We're just trying to get supply of product to our customers as effectively as possible. Volatility, there are certain things that we can do to mitigate volatility. It depends on how deep the volatility is. As you got to drop in the block of $0.03 or $0.05, I think there's some efficiencies that we can derive in our operations that can perhaps mitigate that $0.03 to $0.05 drop. When you got a $0.30 drop in the block, there's very little we can do even on the hedging front to mitigate that type of volatility. Again, it all boils down to supply and demand. It's not complicated. I'm hoping that somewhere along the line, the co-ops around the world will understand that this volatility doesn't -- I mean it affects us, but I don't think they're very concerned about us. It has a much bigger impact on the producer, on our suppliers. And any time I travel around the world and I talk to the dairy farmers, I feel their pain. I understand exactly where they're at when there's so much volatility. And they can't do their budgets effectively because the price at the farm gate is changing so rapidly and so dramatically, it becomes tough for them to even convince their kids to take over the family farm. I get all of that. Unfortunately, we don't have a love lot of influence on the co-ops. The co-ops have influence on the farmers. And I think it's about time that they look at rightsizing the amount of solids in the system for consumers. The markets are growing now at a rate of 1.5% to 2% per year. We cannot have milk production growing beyond that because then we create more volatility. It's not complicated. Unfortunately, we're not a producer. We are a processor. And perhaps we don't have the same credibility that a co-op might have. So, I'm hoping somewhere along the line there's going to be some leadership in this industry on the producing side that will understand that the economics for the dairy farmer could get better, should get better, should they balance that out. In the meantime, we can do the best that we can do at being a low cost, high-quality producer, keeping our balance sheet clean, and picking up those assets where people are not managing their business effectively. That's the best that we can do right now.
Vishal Shreedhar: Okay. Thanks for that color. Just on -- a little bit of a different question here. On the consumer appetite for dairy, there seemed to be so many diet trends nowadays, particularly I guess I'm talking from a North American perspective and many of them shy away from dairy. Just wondering if you're seeing any impact on -- related to that on your production and if there's anything management can do to address that if it's, in fact, a problem? I'm talking about diversifying into some of these dairy alternative categories perhaps.
Lino Saputo: Yes, that's a very good question. What we're seeing, and not just in Canada, we see it also in the United States and in other parts of the world, where fluid milk, traditional fluid milk is in decline. And yes, you've got some of the plant-based beverages that are growing, although soya now is in decline, but you got almond milk and other kinds of plant-based beverages that are on the rise. I think they are trends that ultimately will plateau, but we can't neglect the fact that consumers are getting away from traditional white milk. It's something that we have to be mindful of. Having said that, other dairy categories like cheeses, specialty cheeses, and powders are on the rise and continue to be on the rise. So, not overly concerned with consumption on the cheese and powder side. But yes, there is some concern on the fluids side. Would we consider divestiture with some other kind of category of fluid? Possibly. If the right opportunity came along with the right brands and the right business model for us to get into plant-based beverages, we would certainly take a look at it, but we're not going to completely discount the value of fluid milk. There are some categories that are still very, very attractive for us and we will continue to remain in those categories. If you look at the value-added products, whether they would be flavored products, whether they would be lactose-free type products or products that have a differentiating value to them like the high-protein product for athletes, I mean those are on the rise and they're in high demand. So, we need to pick and choose our battles. And when I talked about in my previous answer about understanding those categories of products that are going to generate a profit for us, that's the full analysis that we're doing. There might be some bids that we may just not entertain anymore in some white milk categories because they just don't make sense anymore from a profit perspective. We're not going to exchange four quarters for $1. We can't do that. It would not be responsible to our employees or to our shareholders if we did that. So, we have so take some hard decisions as we move forward. We'll gravitate and move into those value-added categories and products and perhaps we'll make some investments in other categories that use the same equipment and allow us to get to market with new consumers on other beverages. So, we're looking at everything. The great thing is that we control our own destiny. We have the ability to be able to financially afford to get into other categories or products and invest in them. We have the resources, the human resources, to be able to adapt quite effectively and quite efficiently. So, I'm not overly concerned about the trends. We just need to understand them. We need to know them, and we need to take appropriate action in function of that.
Vishal Shreedhar: Thanks for the color. I just want to clarify a statement you made. You said you are seeing changing consumer perceptions around fluid milk, but not so much in other categories like cheese or protein supplements. Wondering if there's any concern that those attitudes that you're seeing in milk if they can, in fact, transfer over to those other categories or is that not on the radar?
Lino Saputo: So far, that is not on the radar. If I look at all of the platforms, whether it would be Canada, whether it would be United States or in the international platforms, cheese is on the rise. It continues to rise and we continue to outpace the market with respect to growth in those categories.
Vishal Shreedhar: Thanks for the color.
Lino Saputo: Thank you very much.
Operator: And we'll get to our next question on the line from the line of Patricia Baker from Scotia Capital. Please go right ahead.
Patricia Baker: Thank you very much. Lino, just on the back of that discussion of plant-based alternatives, before I ask my question, I'll just make a comment. And I'm sure you've probably seen it but I was reading about this study that was done out of McGill. Recently, results just came out, looking at the nutritional value of the plant-based products versus cow's milk, with the finding being that cow's milk is the most nutritious. So, I thought that was kind of interesting in the context of your discussion. With respect to my question, I want to come back to international and, specifically, Australia. And I do understand that you were in Australia, I think, in November and meeting with the co-ops and meeting with farmers. Can you talk about what progress you think you may have made with the town halls there? What was your key messaging and how you're doing -- how you think you're doing building up credibility, not only with the farming community but perhaps with the co-ops?
Lino Saputo: Yes, Patricia. Thanks for that question I think for the last three years since we've been operating in Australia, we've gained a lot of credibility with supply in community. What we were not exposed to were the farmers specific to MG. And our message was very, very simple and very consistent with what we've told our WCB farmers. Number one, we're going to pay leading prices for milk; number two, we are going to invest in the infrastructure to be able to accommodate more milk if milk would come to us; and number three, we would promote people from within, the local people from within. Very much the same commitments that we made to WCB when we first acquired them, and then we've honored every single one of those commitments in the last three years. So it wasn't empty words that we were telling these farmers in a town hall setting, but they were actions that we've implemented over the course of the last three years. I would say we came away from those meetings and we met probably, I'd say, a good 60% of the MG supplier community in those town hall meetings. And we came away with a very, very good sense that number one, they understood the Saputo story. They like our heritage in dairy. They like the fact that we were honorable and we're not third-generation of a family business because understand most of them are family businesses. They came away with a good understanding that we would be frank and open and honest, and quite frankly, there's some questions and commitments that they asked of us to make which we said we cannot make those commitments. They like the fact that we were open and honest about what we can do and what we cannot do. So, our sense was that the vote is not going to be our biggest issue in this deal. I think we have to get through the ACCC and the FIRB. And once we get to the ACCC and FIRB, then we got to go to vote and we're pretty optimistic that the vote will be favorable for us. And again, this is not something that is a one-time event. Kai, myself and the management team have been working, getting out to Australia on a regular basis, even with our WCB suppliers. Every year, at the opening up of the new milk price, we get out there physically. We do town hall meetings with them. We explain why we're opening up at the price that we chose. We give them an opportunity to ask us questions and we also encourage them to take a two by four knock us over the head if we did not honor our commitments. So far, I haven't gotten a headache yet. So, I think the story is very good. I think our credibility is very good. I think our heritage is very good, and more of the same with MG.
Patricia Baker: That's very encouraging. Thanks.
Lino Saputo: Thank you, Patricia.
Operator: Thank you very much. [Operator Instructions] We'll get to our next question on the line from Keith Howlett with Desjardins Securities. Go right ahead.
Keith Howlett: Yes. You said some questions on the U.S. market. I wondered if you could break down the $19 million of market factors in the quarters in terms of inventory revaluation and overhead absorption, et cetera.
Maxime Therrien: Okay, so -- well, inventory is certainly the big ticker, and that applies not only on the cheese side, but also on the dairy foods side where the closing block price when you compare it to Q2 versus the closing block price in Q3, as compared to last year, there's a significant gap and that's the bulk of the $18 million, $19 million that we are referring to. Spread was not as much as an impact considering the California spread that was a bit more favorable than the one on the east side with the federal order. So, spread for impact on Saputo was not like a material amount. It was mainly the inventory side and slightly offset the dairy ingredients that the market, despite going down, was still favorable to last year.
Keith Howlett: Just in terms of the corporate -- or the plant overhead, is it a percentage of the selling price that's allocated to plant overhead absorption?
Maxime Therrien: Well, again, this is a factor of the block price. When Lino referred that when the block price is down, there's less of the selling price we're getting to be able to absorb those fixed costs. So, that's mainly what -- part of the impact within this quarter. So, I'm not sure I get to your question.
Keith Howlett: Yes. I'm just wondering how you allocate the fixed cost, whether it's a percentage of the selling price or a certain amount per pound or how it--
Maxime Therrien: Yes, we definitely work on a per-pound basis across the organization and basically, there's all kinds of mechanism pending the products. So, we cannot use like a one formula that would apply to all of our products, but it's not based on the selling prices, mainly based on our milk intake.
Keith Howlett: Milk intake. Okay. Thank you. And then I had a question on the administrative expenses U.S. and the ERP was a big part of that. It was also mentioned that logistics, warehouse, and freight costs were up. And I wondered if that was a transitory thing or it reflects trucking and driver shortages in the U.S. or what that relates to?
Lino Saputo: Yes. You hit that right on the head, Keith. Since the Hurricane Harvey and Irma, we haven't got back to the historical rates to distribute our product. There is a short supply of transport and we have never recovered from those hurricanes to get back to historical levels of transportation rates. The other thing as well that we need to be mindful of in terms of warehouse is that as we've got milk intake that's going up in Australia and in Argentina, not all of that product is sold immediately. Some of it is warehoused and this is where you might find some warehouse incremental costs for product that's stored. So, when we talk about warehouse and delivery incremental charges, those are the two major factors there. Of course, there are also some fuel increases, but minimal compared to our transportation rates and warehouse costs.
Keith Howlett: Thank you. And I was just wondering on the tax rate for fiscal 2019. What do you think that might look like given the U.S. tax reform?
Maxime Therrien: Well, it will likely be somewhere around 5% lower than our usual rate. Our usual rate would be typically shy of the 31%. So, we're expecting that the U.S. tax reform kind of you reduce that overall rate for Saputo starting in April 1st going forward by 5% plus.
Keith Howlett: Great. Thank you. And I was just wondering on the Montchevre acquisition, it appeared more -- well, from the data we had, more expensive than the Woolwich acquisition sort of price to sales. I was wondering if you could speak to the Montchevre business and what the potential there is.
Lino Saputo: Yes. So, we didn't disclose the multiple that we paid more because it was a family business and that was the request of the selling party. I will tell you that the multiple was more than what we would've paid other businesses, but you need to recognize that number one, Montchevre is in the specialty category with branded products and they are leaders in their category. So, we thought that the multiple was well justified. I will tell you, without going into great detail, out of respect to the seller, it was more than a 10 times, but certainly not -- I've heard some speculative number at 17 times. It wasn't certainly not at the 17 times number.
Keith Howlett: And just finally on the branded business, I guess you got branded business with many of your cheese products and I guess with Montchevre and your blue cheese. But just more broadly, on branded products and value-added, do you still prefer to keep your view that you're a processor or you feel you could shift into some branded -- more branded products?
Lino Saputo: Well, the DNA of our company is a high quality low-cost dairy processor. And I will tell you that even when we make some non-branded products, they could still be very profitable. Non-branded doesn't mean non-value-added. We do process in the value-added space in other people's brands and we do that quite effectively. Having said that, we've got great expertise in sales and marketing. And if there are brands that have become available for sale beyond the brands that we bring to market, we would certainly take a look at it because I think we're quite good at that as well. But I would not shy away from dairy processing only because they didn't have a brand because there is a lot of dairy processing that is also value add that could generate good profits for us.
Keith Howlett: Great. Thanks very much.
Lino Saputo: Thank you very much.
Operator: And thank you. Mr. Saputo, we have no further questions on the line. I'll turn it back to you.
Lino Saputo: Thank you very much, Tommy.
Sandy Vassiadis: And thank you for taking part in this conference call. You hope you will join us for joining our fiscal 2018 fourth quarter and year-end results on June 7th. Have a nice day.
Operator: Thank you very much. And ladies and gentlemen, this concludes the conference call for today. We thank you for your participation and ask that you disconnect your lines. Have a good day everyone.